Operator: Good morning, welcome to the Rayonier Advanced Materials Inc. Fourth Quarter 2025 Earnings Conference Call. During today's presentation, all parties will be in a listen-only mode. Following the presentation, as a reminder, this conference is being recorded. I would now like to turn the call over to your host, Mickey Walsh, Treasurer and Vice President of Investor Relations. Thank you, Mr. Walsh. You may begin.  
Mickey Walsh: Thank you, and good morning. Welcome again to Rayonier Advanced Materials Inc.'s Fourth Quarter 2025 Earnings Conference Call. Joining me today are Scott Sutton, our President and CEO, and Marcus Moeltner, our CFO and Senior Vice President of Finance. Last evening, we released our earnings report and accompanying presentation materials, which are available on our website at ryam.com. These materials provide key insights into our financial performance and strategic direction. During today's discussion, we may make forward-looking statements subject to risks and uncertainties that could cause actual results to differ materially. These risks are outlined in our earnings release, SEC filings, and on Slide 2 of the presentation. We will also reference certain non-GAAP financial measures to offer perspective on our operational performance. Reconciliations to the most comparable GAAP measures can be found in our presentation on Slides 21 through 24. We appreciate your participation today and your ongoing interest in Rayonier Advanced Materials Inc. I will now turn the call over to Scott.  
Scott Sutton: Yeah. Thanks, Mickey. Good morning, everyone, and thank you for joining us. Since stepping into this role, I have interfaced with many Rayonier Advanced Materials Inc. employees and visited every site, and I will start with three things. First, I mean, what a great team we have. I am quite lucky to have the opportunity to hold hands with the Rayonier Advanced Materials Inc. employees and make us the absolute leader in cellulose and derivatives. Second, we have exceptional capabilities and adaptability to produce the broadest portfolio of cellulose products. Third, we have urgent work to do to get out of the ditch. I am going to keep my prepared remarks focused on Slides 4 through 7. As you can see on Slide 4, our free cash flow in 2025 was negative $88 million, and we also carry plenty of high-cost debt. That combination is not sustainable. So priority one on Slide 5 is simple: deliver positive free cash flow in 2026. Every group in the company is executing on priority one as a mission-critical activity. We are not just aiming to get out of the ditch. We are aiming to exit 2026 with significant momentum with a heavy focus on execution. That brings me to priority two: assert our leadership and lift our value equation in cellulose specialties. We are making great progress. Eighty-five percent of the specialties business is now arranged at an average price increase of 18% over 2025, with expected volume loss of about 20% compared with 2025. The other 15% is still in discussion and may not be decided until the back half of this year. If we are successful in those discussions, the remaining 15% will only come at an average price increase significantly higher than the 18% level. A great characteristic of Rayonier Advanced Materials Inc. is that everyone wants to contribute to our success, and that shows up in priority number three. You should expect every business to improve EBITDA in 2026 relative to 2025 through a broad playbook of leadership initiatives, active portfolio management—in other words, leveling up and leveling down market segment categories to maximize contribution profit—and new product commercializations across the portfolio shown on Slide 6. Slide 6 shows the new product work across the company. The point is that one business does not carry the load. The point is that we have multiple levers, and we expect every business to take a step forward. We will execute our way to the outcome shown on Slide 7. The summary is every business improves EBITDA over 2025. We bridge a near-zero EBITDA first quarter as our leadership initiative kicks in, and we deliver a full-year EBITDA substantially better than 2025, along with solid positive free cash flow. And we intend to hit 2027 running hard. That is the plan, and it is what we are executing right now. Operator, please open the call for questions.  
Operator: Thank you. We will now open for questions. If you would like to ask a question, please press star followed by the number 1 on your telephone keypad. To withdraw any questions, please press star 1 again. Our first question comes from Daniel Harriman from Sidoti. Please go ahead. Your line is open.  
Daniel Harriman: Hey, guys. Good morning. Thank you for taking my questions and Scott, congratulations on the new role. I have two questions that I will start with, and then I will get back into the queue. But, Scott, setting aside the near-term noise and the stock move following last week's AIP announcement, I am curious to know what you have observed internally that gives you confidence in the company's underlying earnings power and the long-term shareholder value that the company can produce. And then as you assert leadership in cellulose specialties, how should we think about a ceiling for pricing in that market? And do you think there is a point at which higher prices could invite some competitors to add capacity over time?  
Scott Sutton: Yeah. Okay. Thanks a lot, Daniel. You know, great to be here. Look, I mean, you know, I think early observations are that our best opportunity really comes from the team. I mean, look, the team here is incredible. They have been able to flip to an execution model almost overnight and really drive the free cash flow that we need. I know that the team is capable of more, and you should expect to see more. I would just say the other surprise, and I mean, it is really a positive surprise, is there is more value here than I thought. And we have significant opportunity to execute on that. We are updating our forward plans. You should expect to see more details about those forward plans on our upcoming earnings calls. And, you know, those plans will be built mainly around, you know, four themes. And hopefully, we get a chance to talk more about those four themes today. I think, Daniel, that was your first question. And the second one, you know, the price increase question and how much might be too much. I actually think the best question is maybe what kind of price increase is necessary just to keep really the remaining domestic producers of cellulose specialties in business and healthy. Because if you think about it, before we have achieved this 18%—which, by the way, leaves us far, far short of reinvestment economics—but before we achieved that, if you look at the last four years, you have seen specialty sites and businesses shut down in the state of Washington. They shut down in Tennessee. They have shut down in Florida. We also permanently ceased production of dissolving wood pulp in our Temiscaming facility. So you are really left with two domestic sites, and those two sites are both Rayonier Advanced Materials Inc.'s. We have the capability to fully supply the whole domestic market, but we are not. In fact, we are kind of set up now as an export facility, and it is really because of so many subsidized imports coming in. So I guess that is a long way to say that we have got a long way to go before we get to reinvestment economics, and really encourage anybody else to expand or enter the market.  
Daniel Harriman: Really appreciate that color, Scott. Thanks again.  
Scott Sutton: Sure.  
Operator: Next question comes from Matthew McKellar from RBC Capital Markets.  
Matthew McKellar: Hi, good morning. Thanks for taking my questions. I would like to ask first, just—I mean, recognizing that the process seems to have played out before you joined the company—can you maybe provide some perspective around the recent filing that indicated you would reject a potential offer and maybe with that, speak to why you see continuing to progress as an independent company as the superior option to that offer? Thanks very much.  
Scott Sutton: Yeah. Yeah. I mean, hey, Matthew. Yeah. You know, I am probably not going to comment on a specific shareholder or any specific offer, except what I will say is, you know, we have plans that will deliver substantially more value. I think a good reference point for you in terms of that target is maybe my inducement agreement, so that sets a place that, you know, I think—and the team thinks—that we can get to. You are going to hear more about those plans as we are updating them in upcoming earnings calls. I know I just answered Daniel's question by saying that it would be good to talk about some of those themes today, and we have four of them. Maybe I just outline them here since it has already come up twice. But those four themes are really based on the following. Number one, we are going to have leadership initiatives where we go out and extract the most value we can from the landscape that is there. Those are going to be a lot more sophisticated than what we are doing today. We are sort of using a blunt instrument to lift value today. Those will be more specific and sophisticated. Just like, you know, we will look at nitration grade cellulose into propellants, particularly for the U.S. That may be some initiative we work on, and you should expect to hear about playbooks set up around that. The second theme is that we are going to get a lot more skilled at leveling up and down across all our product groups. And if you think about the product groups across cellulose, you know, you are familiar with them. There is acetate grade, ether grade, nitration grade, and so on, but it also includes viscose grade, fluff grade, paperboard grade as well. And we are not going to keep our specialty capacity reserved and not operating while we go out and run an initiative, nor will we run it and just push material into a leadership market. So some of those areas have a 30% market share. Some of those areas, we have a 3% market share. But we are going to run our assets all the time and go in and out of those different market areas as necessary to maximize contribution. And you can almost think of it as—like, if you watch professional golf, you can think of it as a leaderboard. You know, if you like F1, the F1 leaderboard, NASCAR leaderboard, you know, you are going to see which markets we are going in and out of move up and down that scale as we fully run our assets all the time without damaging where we have a leadership position. So in other words, in those 30% market share areas. The third theme of that plan will be around new products, new cousins of the products we have, new tweaks on those products to deliver maybe what others cannot. And then finally, the fourth theme, you know, we will have a very active idea pipeline across the whole company that always offsets inflation. So those are the main themes of the plan that you should expect to hear more about. I mean, Marcus, anything to add or—  
Marcus Moeltner: Yeah. Matt, one other fifth that I would add that is very complementary to the items that Scott covered is, you know, that improved performance based on execution on those themes will position Rayonier Advanced Materials Inc. for a refi to really address the capital structure and drive down our interest expense and fixed charges. So very complementary in nature and fits well.  
Matthew McKellar: Great. Thanks for all the commentary. Very thorough.  
Marcus Moeltner: Did we answer your question, Matthew?  
Matthew McKellar: Yeah. That was helpful and thorough. Thank you very much. Maybe next for me, and then I will jump back in the queue. Could you just touch on demand conditions and, I guess, market conditions you are seeing in a couple of CS products? Maybe first in Ethers—one of your competitors, I think, recently called out seeing increased competition from Chinese CLP producers in European markets. Are you seeing something similar? And if so, can you speak to how significant this phenomenon is and how it is affecting the market? And then second, you mentioned nitrocellulose in your previous remarks. Could you just give us a sense of what conditions in that market are like with some of the geopolitical events we are seeing? Thanks very much.  
Scott Sutton: Yeah. Sure. I mean, look, ether grade cellulose is challenged a bit. It is particularly challenged in Europe, but it is mainly because of the ethers coming out of China. In other words, our customers' products are under attack, and therefore, their demand for ether grade cellulose is less. But I will say, even with that, we have still been able to achieve that near 20% price increase across ethers in Europe, which I think is quite different than what others have said. Again, it is just a demonstration that these products can command more value even when there is demand pressure and even when others may have said that pricing is actually going down. I mean, that is a testament to our team, I think. The other part of that—the nitration grade cellulose—yeah, there are lots of new inquiries around that, I would say. There is lots of demand coming from domestic producers of propellants as well. I would say that is an area where we have been able to achieve more than that 18% price increase that we quoted in the prepared remarks.  
Matthew McKellar: Thanks very much. I will get back in queue.  
Operator: Our next question comes from Dmitry Silversteyn, Water Tower Research. Please go ahead. Your line is open.  
Dmitry Silversteyn: Good morning, gentlemen, and Scott, welcome to Rayonier Advanced Materials Inc. Quick question. There has been some discussion about—not discussion, but you announced that you are not going to be participating in the energy project in Georgia. There have been some issues with Tardis plant, as far as skipping production and getting the raw material sufficient to produce the bioethanol business there. Can you talk a little bit about your strategy for biomaterials broadly? And then maybe more specifically, how these decisions are impacting the BioNova joint venture?  
Scott Sutton: Yeah. Sure. Hey, Dmitry. Good to meet you. Look, I would say just broadly across biomaterials, I mean, it is an important business for us today. It is an important part of our growth story in the future. But I would just say that it is really one contributor to our growth. If you think back to the slide that we had put in the earnings deck, you see new products or new cousins across every business. And that is what you should expect to see going forward. We are going to be talking much more about an integrated model across cellulose specialties, commodities, and biomaterials that gets run under the same value creation model. And all of those items will contribute to our growth. But here, if you go back to the leveling up/leveling down—in other words, like the NASCAR leaderboard that I just talked about before—by running Tardis much more and much stronger, not only are we able to get the value we want in specialties by being able to hold out and not push volume into that leadership market, of course, we are able to access other product groups like fluff. But at the same time, that provides an increased feedstock that goes into the biomaterials business, and in particular, it goes into BioNova there. And we sell more ethanol, and we sell more ligno—lignosulfonates as well. So we are actively working on a plan to run Tardis harder, have basically a crisis management team, and we are having success in doing that.  
Dmitry Silversteyn: Understood. Thank you. And then the second question, to follow up on your remarks about pricing getting so low that even an 18% price increase still does not put you at reinvestment economics. There has been an antidumping case that you filed against Brazilian and North European importers. I think that has been positively decided, but it has not been adjudicated yet. So can you talk about where you think or when you think the remedies are going to come in to allow you to restore pricing in North America?  
Scott Sutton: Yeah. I will. And by the way, we are going down a path of restoring prices with or without the antidumping and the countervailing duties case. It is just that success in those cases would certainly help us close the remaining 15% of business likely sooner than we otherwise would, and success in those dumping cases would also make our 2027 improvement and next steps in value likely better as well. But the situation around those—and I will just start with the countervailing duties case—there is likely there will be, we believe, a preliminary determination of those duty rates later this month. So, just as a reminder, that applies to exports out of Brazil from the subsidized state-sponsored producer that has sort of taken over the North American market. So those, we believe, will come in March. The antidumping duties are applicable to both Brazil and Norway, and we believe that there will be preliminary determinations of those rates in May. And by the way, those things are stackable. In other words, the countervailing duties and the antidumping duties can stack on top of one another, as could other things around tariffs as well if they were enacted. So that is the status of the duties.  
Dmitry Silversteyn: Understood. Thank you very much. I will get back into the queue.  
Operator: Sure. Our next question comes from Daniel Harriman from Sidoti. Please go ahead. Your line is open.  
Daniel Harriman: Just a quick follow-up. Scott, we have talked a good amount on specialties and biomaterials. But I am curious to know, with the new product initiatives and cost actions underway within the paperboard and high-yield pulp businesses, how do you see them fitting into the company portfolio longer term? And specifically, do you still see them as potential divestiture candidates? Or is there a role for them longer term in the Rayonier Advanced Materials Inc. portfolio?  
Scott Sutton: Yeah. No. Thanks for the question. I would just say across all of Rayonier Advanced Materials Inc.'s portfolio, we are not selling any business, and we are not closing any assets. All of them right now are certainly sources of improvement for us, and we expect to improve them all. Both the paperboard business and the high-yield pulp business—yeah, look, they are certainly challenged, and they are still absorbing new capacity, particularly in paperboard. But we have new products there that we are being successful at commercializing. So the source of improvement in 2026 over 2025 for paperboard will be those new products. One is associated with an oil and grease board, and the other one is a foldable freezer board, all of which can carry a unique set of printing and coatings on them. So that will be the source of improvement. We expect to do more volume in paperboard as that other capacity is getting absorbed. High-yield pulp, yep, there is a lingering oversupply issue there as well, but we also have a significant new product that is under customer testing, and we have sold some trial quantities there already. And we will expect to see price start to move back up as that oversupply issue gets addressed.  
Daniel Harriman: Okay. Thanks again, Scott. I really appreciate it.  
Scott Sutton: Yep. Sure.  
Operator: For any additional questions, please press star followed by 1 on your telephone keypad. Our next question comes from Matthew McKellar from RBC Capital Markets. Please go ahead. Your line is open.  
Matthew McKellar: Hi. Thanks again for taking my questions. Scott, you made an interesting comment there about a more integrated model across CS and even biomaterials. Could you maybe expand on that a bit? I think the current segmentation has helped make clear there are products with very different margins within the business. And that segmentation maybe masked to some degree that commodity pricing is very outside your control, and maybe you need higher CS margins still to justify continued investments. And I guess, would you even make an argument that maybe the commodity side has become structurally more challenging and what that—again, that kind of would suggest CS margins need to go higher.  
Scott Sutton: Yeah. Sure. I mean, look, our forward model is going to be one value creation model in this area. And, you know, you look at the scale and scope of our assets. We have got to be successful on every kind of product that can come out of those assets, whether it is the seven or eight market segments that we previously classified as specialties, or whether it is the three or four segments that we previously classified as commodities, or whether it is the four or five other segments that we have called biomaterials. So we are going to be setting those assets, and we are going to be setting our market participant strategy in whatever configuration gives us the most contribution at the time. So sometimes, we are going to be running more fluff and more viscose. That is just like today. I can tell you for 2026, our highest-volume product by far is cellulose fluff. And that is because we are going through this leadership initiative, and we are able to not rush that leadership initiative, not push production out into a market where we are trying to increase the value of it. So it is serving us very well in doing that. You also heard me speak about Tardis for the biomaterials—the coproduct or the black liquor that comes off the production of the other serves as the feed for that. So we can balance all that together instead of isolating those and showing isolated results. It does not really matter what we produced. We are just going to be showing a better and better result each time.  
Marcus Moeltner: Yeah. And Matt, as you know, our breadth in production capability, as Scott mentioned, we can make a myriad of products. We have got a sulfite and kraft process. We have got hardwood and softwood capabilities. We are just going to look to optimize that contribution margin across our footprint while driving down absolute fixed cost. Right? We must drive down fixed costs, be profitable across the footprint, and be more—  
Matthew McKellar: Great. Thanks very much for that perspective. Last question for me. It was interesting to see your paperboard volumes and prices increase sequentially in Q4. Would you attribute that mostly to the introduction of the freezer board product you mentioned previously? Is there anything else we should understand about your results in that business? And then, I guess, with the recently announced closure of a competitor's SBS mill in Northern Quebec, do you see opportunities to potentially win some attractive business there that could further support results? Thanks.  
Scott Sutton: Yeah. I think that—and maybe Marcus has a comment more. I mean, there is some mix issue there. We were successful with the freezer board new product introduction as well, because you are speaking about the third quarter of last year compared to the fourth quarter.  
Marcus Moeltner: Yeah. And I will add to that, Matt. There is an element of mix as it relates to quality as well. Better productivity and better quality at the plant results in less culls, so that is going to drive your mix as well. So we have seen the plant performance better and improved.  
Scott Sutton: Hey, Matt. Ask your second question.  
Matthew McKellar: Yeah. Sure. So I guess with the closure of a competitor's SBS mill in Quebec, do you see some opportunities to win business that could further support results in that—thanks.  
Scott Sutton: Yeah. Okay. Thanks. I think there are opportunities. But at the same time that is going on, we are having to absorb the new capacity up in the Northeast U.S. as well. So it is sort of maybe helping offset the negative from that.  
Matthew McKellar: Okay. Fair enough. Thanks very much. I will turn back—  
Scott Sutton: Alright.  
Operator: And we have no further questions. I would like to turn the call back to Scott Sutton for closing remarks.  
Scott Sutton: Yeah. Okay. Yeah. Thanks. I mean, there are just a couple things I would like to add here at the end, maybe things that did not really come up. We did comment that we still have 15% of the expected cellulose specialties business to place, and I just wanted to relay that I think we have options for that. Clearly, the first option is to get that in the specialties area. It is mainly a shortage in the acetate area, and it is mainly a shortage in the U.S. And all I would say there is it is going to take some time to be successful, but I would hate to really be the last demand standing there, like maybe the U.S. TOE producers are going to be. It is sort of like there is a game of musical chairs and someone is going to be left standing without a chair. And we are going to see where that goes. And that is why I made my earlier comments that the remaining 15% is only going to come at a higher price increase than the 18% that we have already achieved. The other option that we have if we are not successful at getting that remaining 15% is we will run our, you know, NASCAR leaderboard strategy, and we are already practicing at that some. We will level up and level down as necessary. And we will go do some more fluff business, where we only have a 3% or 4% global market share, and we can enter that market basically without damaging the pricing profile of it. So I think that is something that did not come up, but it is important because how we manage that is important to our EBITDA profile going forward through the rest of 2026. Okay. So look, with that, I guess I will just end where we began. And I will just say, look, what a great team we have. We have a lot of value here. But we have really urgent work to do. And our priorities are really clear. Deliver positive free cash flow in 2026. We are going to assert our leadership and lift value in cellulose specialties. And we are going to improve EBITDA across every business. We are executing on that now. We intend to exit 2026 with significant momentum and hit 2027 running really hard. You should also expect us to continue to update these plans where we hinted on the four themes that they will contain, and Marcus added a fifth very important value creation theme to that as well. And that is what we will be talking about in our upcoming earnings calls. So anyway, with that, I will just say thanks a lot for your questions, and thanks a lot for your interest in Rayonier Advanced Materials Inc.  
Operator: And this concludes today's conference call. Thank you for your participation. You may now disconnect.